Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Fourth Quarter and Full End 2011 Earnings Conference Call. During the presentation all participants will be in a listen-only mode. Afterwards, we’ll conduct a question-and-answer session. [Operator Instructions]
 As a reminder, this conference is being recorded, Wednesday, February 15, 2012. I will now turn the call over to James Hurlbutt, Vice President and Chief Financial Officer. Please go ahead, sir. 
James Hurlbutt: Good afternoon. And thank you for joining the Stepan Company’s fourth quarter and full year 2011 financial review.
 Before I begin, please note that information in this conference call contains forward-looking statements which are not historical facts. These statements involve risks and uncertainties that could cause actual results to differ materially, including but not limited to prospects for our foreign operations, global and regional economic conditions and factors detailed in the company’s Securities and Exchange Commission filings.
 That being said, I would now like to turn the call over to Quinn Stepan Jr., President and Chief Executive Officer of Stepan Company. 
Unknown Executive: Thank you, Jim, and thank you all for joining us today. I’m pleased to report that Stepan delivered our fourth quarter consecutive year of record net income, our 44th consecutive annual dividend increase and another year of appreciation in our stock price. At Stepan we are focused on delivering value to you, our shareholders.
 In 2011, net income was $72 million, up 10% from 2010. Excluding deferred compensation, net income was $72.9 million, up 8% over 2010. Results were driven by higher Functional surfactant and polyol sales.
 Utilizing our strong balance sheet we made progress expanding our footprint into markets that are growing rapidly with new capacities for Brazil sulfates, German polyols and soon Singapore methyl esters.
 Methyl esters are a key building block for Stepan’s higher margin amphoteric business. Singapore production should allow us to globalize our methyl ester derivative business.
 We continue to pursue greater innovation and invention within the company. Although commercialization is lower than anticipated, we are enthusiastic about opportunities for enhanced oil recovery surfactants and derivatives we are developing from unique metathesis feedstocks.
 At this point, I would like Jim to walk through Stepan’s fourth quarter and full year results. 
James Hurlbutt: Thanks, Quinn. Starting with the topline, total net sales for the fourth quarter were approximately $444 million, up 23% versus the year ago quarter. Full year 2011 net sales rose 29% to $1.84 billion, rise in fourth quarter sales were primarily related to higher selling prices which accounted for 19 percentage points of growth and increase volume, which accounted for 5 percentage points of the growth. Foreign exchange translation contributed a 1 percentage point decline in fourth quarter sales.
 Overall, volume rose 5% in the fourth quarter, with volume rising 3% for the full year. Net income attributable to Stepan Company on the GAAP basis for the fourth quarter totaled $13.2 million, up 55% from the prior year. GAAP EPS was $1.17 per diluted share, up 54% versus the year ago quarter.
 Full year GAAP net income rose 10% to a record high $72 million, our fourth consecutive year of record earnings, resulting in fully diluted GAAP EPS for 2011 of $6.42, up 9% year-over-year. The impact of deferred compensation reduced GAAP diluted earnings per share by $0.19 in the fourth quarter and $0.08 for the full year.
 Fourth quarter non-GAAP net income which excludes approximately $2.2 million on pretax deferred compensation income increased 35% to $15.4 million versus the year ago quarter. Non-GAAP EPS was $1.36 per diluted share, up 33%. 2011 full year non-GAAP net income rose 8% to $72.9 million with non-GAAP EPS up 7% year-over-year to $6.50 per diluted share.
 A detailed table outlining the financial effect of the deferred compensation plan has been provided in the earnings release as table two for your reference.
 Fourth quarter 2011 other expense rose versus the year ago quarter with the income -- increase comprised of higher interest expense and higher expenses associated with equity joint ventures. Also please see table three in our earnings release for the summary of the effects of foreign currency translation on net sales in key income line items.
 Fourth quarter 2011 gross profit increased 19% year-over-year to $60.1 million. Selling price increase and improved sales mix drove the improvement. Full year 2011 gross profit increased 8% versus the year ago to $255.6 million.
 Moving on to the quarterly operating expenses, which rose 5% versus the year ago quarter and full year operating expenses rose 7% year-over-year. It is worth noting that investments for future growth opportunities in the Netherlands, Singapore, Brazil, Poland and the Philippines increased total operating expenses by $2.1 million for the quarter and $7.2 million for the full year period.
 Administrative, general expense rose by 9% for the quarter and 11% for the year, also led by our global growth initiatives.
 Please note that the prior year included a $1.4 million credit for lower estimated future environmental remediation costs. Excluding the impact of that year ago credit, full year administrative expense rose just 7% year-over-year.
 Research and development expenditures rose 7% and 6% for the quarter and full year periods, respectively. Marketing expense rose 13% for the quarter and 14% for the year, driven by our global growth initiatives.
 Looking now to net interest expense for the quarter of $2.6 million, which was 64% versus the year ago period, largely due to higher debt levels associated with the company’s borrowing of $65 million of private placement debt in 2011, incurring a 4.86% interest rate. 
 The effective tax rate was 25.5% for the quarter, down from 29.4% a year ago. The full year effective tax rate was 30.8%, compared to the year ago rate of 35.4%. The decrease was primarily attributable to the implementation of the holding company’s structure that will provide a recurring benefit in lowering the tax rate on foreign earnings.
 Let’s now move to a review of the performance of our three key business segments, first, we’ll look at surfactants, the largest segment of our business accounting for 75% of company-wide sales. Net sales of surfactants totaled $331.4 million for the quarter, an increase of 24% versus the year ago quarter. Full year net sales of surfactants rose 29% to $1.36 billion.
 Sales volume rose 5% for the quarter and increased 2% for the full year. Improved volume of Functional surfactants used in agricultural, oilfield and biodiesel applications offset weakness in North American Consumer Product Applications.
 Surfactant gross profit increased 28% in the fourth quarter to $43 million, due to a more favorable sales mix of Functional surfactants that more than offset the impact of weaker consumer product sales volume.
 Brazil contributed to the higher fourth quarter gross profit on the growing sales volumes made possible by plant expansion completed during 2011. Full year surfactant gross profit increased 8% year-over-year. Agricultural surfactant volume finished with a strong fourth quarter and full year improvement.
 Turning to our polymer segment, representing 21% of sales. Net sales totaled $94.2 million for the quarter, an increase of 11% versus the year ago quarter. For the full year, polymer net sales increased 28% to $421.5 million. Volume increased 2% for the quarter and 9% versus the respective year ago period.
 Fourth quarter polymer gross profit declined 11% to $12.7 million due to weaker phthalic anhydride or PA margins, resulting from consuming higher priced raw material inventory. For the year, polymer gross profit grew by 11% to $61.6 million, driven by higher sales volumes of polyol. The growth in polyol volume more than offset lower gross profit on phthalic anhydride.
 Fire damage repairs to our second polyol reactor in Germany have been completed and no property damage loss was recorded as insurance is expected to cover the damage. The fire did result in business interruption and higher costs of supplying product from the U.S. to Europe. Business interruption insurance claims are expected to be settled in 2012 and consequently no benefit has been recorded in 2011.
 Sales volume of polyol used primarily in rigid foam insulation grew by 14% for the year due to higher demand for insulation in replacement roofing on commercial buildings and growing demand in metal panel and adhesive applications.
 Finally, we’ll look at our specialty product segment, which accounted for approximately 4% of sales. For the fourth quarter specialty products net sales totaled $18.5 million, up 102% versus the year ago quarter and up 40% for the full year period.
 Segment sales benefitted in large part from the June 2011 acquisition of the Lipid Nutrition product line. Specialty products fourth quarter gross profit increased 68% versus the year ago quarter to $5.3 million. Fourth quarter improvement was attributable to the Lipid Nutrition product line acquisition. Full year gross margin grew 6% to $19 million.
 Moving now to the balance sheet, total debt as of December 31, 2011 was $199.5 million, up $12.9 million in the sequential quarterly comparison and up $7.9 million versus year end 2010. As of December 31st, net debt representing total debt minus cash [$80.4 million] down $38.8 million from September 1st.
 Net debt rose $35 million since year end 2010, primarily due to the inflationary impact of higher commodity raw material costs on inventory and receivables follows the $13.6 million [net debt-to-capitalization] at year end 2011 was 33%, compared to 35.2% a year ago. The ratio of net debt-to-capitalization at year end 2011 was 22.1%, compared to 18.5% a year ago.
 As of December 31, 2011 inventories net of LIFO reserves totaled $111.2 million down by $26 million in the sequential quarterly comparison, compared to one year earlier inventories were up $14.6 million with two-thirds of the increase due to raw material inflation and the remainder to plan to support customer service levels.
 Capital expenditures were $22.2 million for the quarter and $83.2 million for the full year 2011. Looking forward we expect our 2012 full year capital expenditures to be within the range of $100 million to $110 million.
 Turning to cash flows, fourth quarter cash flow from operations was a source of $64.8 million, compared to a source of $19.9 million for the same quarter in 2010. On a full year basis Stepan generated $77.4 million in cash flow from operating activities.
 During the fourth quarter Stepan repurchased 3000 shares of stock in the open market and had approximately 211,000 shares remaining under its treasury share repurchase authorization as of December 31, 2011.
 In the fourth quarter Stepan paid out a total of $3 million in cash dividends to its common and preferred shareholders. For the full year 2011, we paid out a total of $11.5 million in cash dividends to our shareholders.
 Before we open the call to questions, Quinn will provide perspective on[indiscernible} 
Unknown Executive: [indiscernible} to accelerate growth over the last two years have created the opportunity for increased earnings in 2012. Surfactant growth will come from our expanded operations in Brazil, startup of our new plant in Singapore and greater sales -- greater global sales of higher value Functional surfactants used in the agricultural, oilfield and enhanced oil recovery markets.
 Our polyol volume is projected to grow in 2012 as recommendations to use higher insulation levels to reduce energy consumption are implemented throughout the world. The German polyol plant is up and running. Our polyols, again as Jim said, are primarily used in replacement roofs versus new construction.
 Our specialty product business is positioned for growth in 2012 based on last year’s Lipid Nutrition product line acquisition. Overall, we are enthusiastic about the opportunities we have to grow in 2012.
 This concludes our prepared remarks. At this time, we would like to turn the call over for questions. Benjamin, please review the instructions for the question portion of today’s call. 
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jason Rogers with Great Lakes Review. Please proceed with your question. 
Unknown Analyst: Looking at some of the balance sheet items, I don’t know if you mentioned them, but the receivables and accounts payable? 
James Hurlbutt: Yeah. Did we lose Jason? 
Unknown Analyst: No. I’m here. Accounts receivables. 
James Hurlbutt: Okay. 
Unknown Executive: You’d just like us to comment on the receivables. 
Unknown Analyst: If you gave a figure out for the receivables and the payables. 
James Hurlbutt: Oh! Just the actual amount? 
Unknown Analyst: Right. Exactly. 
James Hurlbutt: Okay. So, we ended the year with receivables at $260.2 million and inventories of $110.4, which is net of our LIFO reserve and then, I assume you want payables as well, which is $135.6 million. 
Unknown Analyst: Okay. And looking at the North American surfactant market, some of the weakness there? Is that due to customers using less active ingredients and are you seeing any, if that’s the case, any reversal of that currently? 
Unknown Executive: Yeah. I think due to a higher commodity prices throughout 2011, we did see consumer product companies reformulate and de-formulate their commodity range products in the laundry and the dish categories. So at this point in time, we are not anticipating that people will go back and increase their active levels and their products at this point. 
Unknown Analyst: Okay. And what were the costs related to the fire for the quarter… 
Unknown Executive: Fire, German… 
Unknown Analyst: … German plant? 
Unknown Executive: If we take a look at it, there is cost associated with the rebuild that we believe will be covered by insurance. The order of magnitude that was about €1.8 million and then if we look at kind of the business interruption claim, it will probably be somewhere in the €1.5 million to €2.5 million range. 
Unknown Analyst: Okay. And looking at the tax rate, what do you expect for 2012? 
James Hurlbutt: Roughly 32. 
Unknown Analyst: Okay. 
James Hurlbutt: Should be able to hang on to a good portion of the savings that we built into the tax rate in the past 12 months due to a tax restructuring we did in late 2010. 
Operator: [Operator Instructions] Our next question comes from the line of Kevin Hocevar with Northcoast Research. Please proceed with your question. 
Kevin Hocevar: Good. I got a question on in terms of polyol volumes, looks like they grew 13% in 2010 and 14% in 2011. How should we think about that in 2012, do you think that they can keep this pace or do you think it will moderate a bit? 
Unknown Executive: Overall, I would say that we’re in a comparable range, it maybe down slightly as we look at 2012 in part, because we’re coming off of a higher base. But we do anticipate to be significant growth in the marketplace. 
Kevin Hocevar: Okay. And then in terms of based on how much raw materials increased in 2011. How much of that were you able to offset with price and is there -- do you expect that maybe you will be able to recover all raw material cost increases in 2012 through price? 
Unknown Executive: Yeah. If we take a look at, we run our business and we focus a lot on our unit margin on a per pound basis and as we look at kind of 2010 going to 2011, our actual unit margin was actually up a little bit. Now gross profit percent is down because of the high rapid inflation that we had, but we anticipate that our unit margins from 2011, 2012 will be flat. So therefore we believe we can cover the price increases that we have in the marketplace. 
Operator: And we have a follow-up question from the line of Jason Rogers, Great Lake Review. Please proceed with your question. 
Unknown Analyst: Just looking at the enhanced oil recovery area, I know you mentioned it’s going a little slow than anticipated. But I wondered if you could talk a little bit about any new developments there, as well as what your expectations are for profitability of that business for 2012? Thanks. 
James Hurlbutt: Okay. Yeah. I guess we’re very encouraged by the results of the pilots that we’re currently involved in. The lag that we’re seeing in terms of the financial impact for Stepan Company is because our customers are taking a fair amount of time to implement the capital projects in their fields. And so, but we’re very encouraged by the results, again the pilots that we are in.
 In 2012, we believe that the business will be marginally profitable, more or less at a breakeven level. And then we’re anticipating income growth in 2013 and ‘14 based on the scale ups of the various projects that we’re involved in. 
Operator: [Operator Instructions] I will now turn the call back over to management. There are no further questions at this time. 
Unknown Executive: Okay. I’d like to thank everyone for joining Jim and I on the call today. We look forward to reporting our first quarter 2012 results on our next call. Thank you for your interest in our company. And have a good day. 
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation. And ask that you please disconnect your lines.